Operator: Thank you for holding, ladies and gentlemen. Welcome to the Quanta Services Second Quarter 2013 Earnings Conference Call on the 1st of August 2013. [Operator Instructions] I will now hand the conference over to Mr. Kip Rupp, Vice President of Investor Relations. Please go ahead, sir.
Kip A. Rupp: Great. Thank you, Carolyn, and welcome, everyone, to the Quanta Services conference call to review second quarter 2013 results. Before I turn the call over to management, I have the normal housekeeping details to run through. If you'd like to have Quanta Services news release and other information emailed to you when they occur, please sign up for email information alerts by going to the Investors & Media section of Quanta Services' website at quantaservices.com. In addition, Quanta has an Investor Relations app for iPhone, iPad and Android mobile devices, which is available for free at Apple's App Store and the Google Play. The Quanta Investor Relations app allows users to navigate the company's Investor Relations materials including the latest press releases, SEC filings, presentations, videos, audiocast conference calls and stock price information. A replay of today's call will be available on Quanta's website at quantaservices.com. In addition, a telephonic recorded instant replay will be available for the next 7 days, 24 hours a day, that can be accessed as set forth in the press release. Please remember that information reported on this call speaks only as of today, August 1, 2013 and therefore, you advised that any time sensitive information may no longer be accurate as of the time of any replay of this call. This conference call will include forward-looking statements intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These forward-looking statements include all statements reflecting Quanta's expectations, intentions, assumptions or beliefs about future events or performance, or that do not solely relate to historical or current facts. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict or are beyond Quanta's control, and actual results may differ materially from those expected or implied as forward-looking statements. Management cautions that you should not place undue reliance on Quanta's forward-looking statements, and Quanta does not undertake any obligation to update any forward-looking statements to reflect events or circumstances after this call. For additional information concerning some of the risks, uncertainties and assumptions that could affect Quanta's forward-looking statements, please refer to the company's annual report on Form 10-K for the year ended December 31, 2012, and its other documents filed with the Securities and Exchange Commission, which may be obtained on Quanta's website or through the SEC's website at sec.gov. With that, I would like to now turn the call over to Mr. Jim O'Neil, Quanta's President and CEO. Jim?
James F. O'Neil: Thank you, Kip. Good morning, everyone, and welcome to Quanta's second quarter 2013 earnings conference call. I will start the call with an operational overview before turning it over to Derrick Jensen, Quanta's Chief Financial Officer, who will provide a detailed review of our second quarter results. Following Derrick's comments, we welcome your questions. Quanta continues to execute at a higher level. Our second quarter results reflect strong demand for our services and solid project execution. For the quarter, revenues increased approximately 6% and GAAP diluted earnings per share from continuing operations increased about 22% compared to the same quarter last year. At quarter end, total backlog increased approximately 10% from last year's second quarter to a record $7.51 billion. Our Electric Power segment continued to experience increased demand for electric transmission and distribution services. As we have discussed on our earnings calls for some time now, the electric power industry is investing at record levels to upgrade and modernize North America's power grid. Regulations to improve Red reliability, renewable interconnections, the impact of coal to gas generation switching and other industry dynamics should continue to drive the power industry's investments and electric infrastructure over the next several years. We have good visibility into a number of large transmission project opportunities through 2014 that we believe continues to provide a platform for growth. While we have some projects nearing completion, we have plans to mobilize resources to projects in California, Canada and the northeast United States. That current level of bidding activity on large transmission projects is at a level comparable to last year and at this time. We continue to believe the transmission market will be very active through 2014 and beyond, and revenue growth is likely, but we may experience short-term cyclicality quarter-over-quarter, due to the timing of project awards and project start dates. In addition, smaller transmission project activity remains strong, primarily driven by the electrification of shale gas fields and subtransmission interconnections off the major [indiscernible] transmission project built over the past several years. Our electric distribution activity continue to increase in the second quarter, and we expect this growth to continue throughout this year and 2014. We continue to add distribution crews for customers where we have existing master service agreements and are signing new agreements with customers on a regular basis. In general, our customers are increasingly focused on distribution asset management initiatives such as reliability and Smart Grid [indiscernible], as well as great hardening programs in response to Hurricane Sandy and other major storms that significantly impacted power infrastructure last year. Our Natural Gas and Pipeline segment revenues grew 14% this quarter versus the second quarter of last year and operating income increased over 80% versus the same period, resulting in a significant improvement in operating margin for the segment. We are pleased with the segment's improved profitability in the second quarter and we expect this trend to continue year-over-year. Demand for pipeline services to support shale gathering infrastructure was active in the second quarter and should remain so throughout the year and for many years into the future, as customers continue to invest in infrastructure needed to support the development of unconventional shales, particularly liquid rich shale formations. As highlighted in our earnings release this morning, during the second quarter, we were awarded approximately $550 million of mainline pipe projects from 4 customers. While we can't get into much detail about the customers or the projects, we estimate approximately $100 million of these revenues should be realized in 2013 and the remaining revenue should be realized in 2014 and into 2015. We are currently in discussions with these customers and other customers regarding additional mainline projects and are actively bidding on mainline work for 2013 and beyond. We continue to believe that the mainline project awards for the industry will be active this year and could accelerate in 2014. We consider our people to be the most experienced in the industry and with approximately 1/3 of the industries mainline pipeline construction capacity, we believe we are well positioned to assist our customers in meeting their growing energy infrastructure capital plans over the coming years. In our Fiber Optic Licensing and Other segment, revenues for the quarter decreased marginally over the prior period due to fluctuations in telecom services revenues. Within the segment, however, Fiber Optic Licensing activities are growing steadily with sustained margins and we continue to see solid demand for our networks in the markets we serve. After the second quarter, we closed on the acquisition of 2 excellent companies: J.W. Didado Electric and Nacap Australia. J.W. Didado Electric is a full-service electric per contractor headquartered in Akron, Ohio and founded in 1958. Didado was a multi-generation family-owned business with strong customer relationships, a sterling reputation and an excellent management team. Didado brings Quanta an enhanced presence in the Midwest and along the East Coast, and Quanta will provide Didado with the financial and operational resources it needs to take its business to the next level. Nacap Australia was founded in 1984 and is based in Victoria, Australia. Nacap is a leading energy infrastructure contractor that primarily provides pipeline construction and related services to Australia's oil, gas, water and power industries. The company performed services across the continent and has a customer base consisting of Australia's major energy developers. Nacap is led by a strong management team with deep experience and strong relationships in the Australian infrastructure markets. Nacap's reputation in the industry, their safety record and the company culture they've created has made this company a preferred employer in the industry in Australia. We believe Australia is an attractive market for Quanta to continue to expand and for years to come. The Australian market represents one of the most dynamic energy markets in the world, with coal steam gas, LNG and potential shale gas developments. It is also economically and politically stable and is a U.S. friendly country with similar culture and rules of law. In addition, Australia is in proximity to a large growing economies in Asia such as China, which has significant energy resource demands that Australia can help supply over the long term. More than $160 billion of LNG energy infrastructure is currently under construction in Australia. Australia also has a number of shale plays that have yet to be developed. According to the Energy Information Administration, Australia has the world's 7th largest potential shale gas resource and the 6th largest potential shale oil resource. The development of these shale resources could provide significant energy infrastructure opportunities for Nacap and Quanta in the future. As we discussed in our earnings release, we have adjusted our full-year 2013 guidance. We increased the lower end and upper end of our guidance, primarily due to the strong performance of our field operations in the first half of the year and better visibility into the remainder of this year. We continue to reflect prudent expectations in our financial forecast, particularly in the fourth quarter, as the timing of electric transmission and mainline pipeline awards construction start dates and seasonality can impact our overall financial performance. Consistent with our previous approach, we do not have any uncommitted mainline pipe construction revenues in our guidance for the remainder of 2013. While we believe there are opportunities for Quanta to book additional mainline work that could start construction this year, we will not include any mainline projects in guidance until we have signed contracts and a firm construction start date. In summary, we had an excellent second quarter, and we are pleased with the momentum we see in our business for the rest of this year and beyond. We continue to believe we are in a multi-year energy infrastructure investment cycle that we remain well positioned in our leadership role in the industries reserve. We will continue to leverage this leadership position and execute on our strategic initiatives to grow both organically and through selective acquisitions as we actively pursue opportunities to expand the solutions we offer to our customers. I will now turn the call over to Derrick Jensen, our CFO, for his financial review of the second quarter. Derrick?
Derrick A. Jensen: Thanks, Jim, and good morning, everyone. Today, we announced revenues of $1.47 billion for the second quarter of 2013 compared to $1.39 billion in the prior year second quarter, reflecting growth of approximately 6% quarter-over-quarter. Net income from continuing operations attributable to common stock in the quarter was $70.2 million or $0.33 per diluted share as compared to $57.9 million or $0.27 per diluted share in the second quarter of last year. Although in our previous guidance, included in our results for the second quarter of 2013 was approximately $4.3 million of expense or $0.01 per diluted share related to the accelerated vesting of equity-based awards associated with John Colson's retirement as Quanta's Executive Chairman of the Board of Directors effective May 23, 2013. The growth and consolidated revenues in the second quarter of 2013 was led by a 14% increase in revenues from our Natural Gas and Pipeline Services segment, followed by 4% growth in our Electric Power Infrastructure Services segment. Our consolidated gross margin increased to 16.4% in the second quarter of 2013 from 15.4% in 2Q 2012. This improvement was primarily driven by the second quarter performance of our pipelines segment as compared to last year's second quarter, as well as the impact of higher overall revenues, which improved our ability to cover fixed operating costs. Selling, general and administrative expenses were $119 million, reflecting an increase of $13.8 million as compared to last year's second quarter. This increase is primarily attributable to $10.8 million in higher salary and incentive compensation cost, associated with increased levels of operating activity and profitability and includes a $4.3 million noncash compensation charge I spoke of earlier. Also contributing to the overall increase in selling, general and administrative expenses was approximately $2.7 million in higher cost associated with our ongoing phenology and business development initiatives. As a percentage of revenue, selling, general and administrative expenses increased to 8.1% in the second quarter of 2013 from 7.6% in the second quarter of 2012. Excluding the $4.3 million noncash compensation charge from 2Q '13, our SG&A percentage would have been 7.8%. Our consolidated operating margin before amortization [ph] expense increased to 8.3% in 2Q '13 from 7.8% in 2Q '12. Amortization of intangible assets decreased from $9.3 million in 2Q '12 to $5.1 million in the second quarter of 2013, as certain of these assets became fully amortized, partially offset by increased amortization of intangibles associated with the small business acquisition during the first quarter of 2013. To further discuss our segment results, the Electric Power segment's revenues were $1.05 billion, reflecting an increase of $40.3 million quarter-over-quarter or approximately 4%. Revenues during the quarter were positively impacted by higher revenues associated with Electric Power Transmission and Distribution projects, which resulted primarily from increased capital spending by our customers. This increase is partially offset by lower revenues related to renewable energy projects as certain projects near completion during the second quarter of 2013 with limited new awards. Revenues from emergency restoration services increased quarter-over-quarter with approximately $26.1 million occurring in the second quarter of 2013, compared to $12.5 million occurring in the second quarter of 2012. At the end of the second quarter, 12 months backlog for the Electric Power segment decreased 4% to $2.68 billion as compared to the second quarter of 2012. Sequentially, 12 months backlog decreased slightly by 3% from the end of the first quarter of 2013 due in part to burn on certain electric transmission and renewable projects during the second quarter of 2013. Total backlog for this segment remains strong at $4.94 billion and we continued to expect substantial project award activity in future periods. Operating margin in the Electric Power segment increased to 11.5% in the second quarter of 2013 as compared to 11% in last year's second quarter. Natural Gas and Pipelines segment revenues increased quarter-over-quarter by 14% to $385.9 million in 2Q '13, primarily as a result of increased revenues from projects related to unconventional shale developments in certain regions of North America. Operating income for the natural gas and pipeline segment as a percentage of revenues increased to 7.2% in 2Q '13 from 4.5% in 2Q '12, primarily due to continued performance improvement and more favorable project condition, as well as the overall increase in segment revenues, which improved the segment's ability to cover fixed and overhead cost. At the end of the second quarter of 2013, 12 months in total backlog for this segment increased about 16.9% and 47.3%, respectively, compared to the end of the second quarter of 2012. As we've commented before, Keystone XL is not in any of the backlog figures presented for our pipeline segment. Fiber Optic Licensing and Other segment revenues were down $0.4 million or 1% to $42.1 million in 2Q '13 as compared to $42.5 million in 2Q '12. Additionally, operating margin decreased to approximately 34% in 2Q '13 as compared to 36.3% in 2Q '12, primarily due to fluctuations in telecom project activity, as well as slightly higher overhead cost incurred in the 3 months ended June 30, 2013. From calculating operating margins by segment, we do not allocate certain selling, general and administrative expenses and amortization expense to our segments. Therefore, the previous discussion about operating margins by segment excludes the effects of such expenses. Corporate and unallocated costs increased $2.7 million in the second quarter of 2013 as compared to 2Q '12, primarily as a result of the $4.3 million noncash compensation charge and $1.7 million in higher professional fees associated with ongoing technology development cost and business development initiatives discussed earlier. These increases are partially offset by reduced amortization expense of $4.2 million from previously acquired intangible assets that became fully amortized. Adjusted diluted earnings per share from continuing operations as calculated in today's press release was $0.38 for the second quarter of 2013 as compared to an adjusted diluted earnings per share from continuing operations of $0.32 for 2Q '12. Operating cash flow from continuing operations was approximately $118 million for the second quarter of 2013 as compared to cash provided of $108 million for the second quarter of 2012. Capital expenditures, net of proceeds from equipment sales, were about $79 million, resulting in approximately $39 million in free cash flow for the second quarter of 2013. This compares to $69 million in free cash flow for the second quarter of 2012. Cash flow has been negatively impacted by sustained higher levels of working capital during the current period, which has adversely affected our days sales outstanding or DSOs. Our DSOs were 93 days at June 30, 2013 compared to 87 days at March 31, 2013, and 81 days at June 30, 2012. Contributing to the increase in DSOs were the effects of transitioning efforts to enlarge electric transmission projects during the period and certain larger projects approach completion, and therefore had declining revenues for final billings and retainers balances await settlement. However, other projects began during the quarter with billing milestones on current production having not yet been achieved. We continue to focus on billings for all projects and reducing our overall DSOs. Also continuing to impact DSOs are the change orders associated with a summarized project, which remain in cost and excess of Billings. During the quarter, we began formal discussions with the customer on this project pursuant to an agreed structured negotiation process. The customer has completed its audit of the project and we are in the process of responding to the customer's request for additional documentation. This process is proceeding on a slower timeframe than originally anticipated, and we currently expect this stage of the process to continue until sometime into the fourth quarter of this year. We continue to believe strongly in our position on this matter and we are not currently aware of any circumstances warranting adjustment to the amounts we believe are owed. EBITA for the second quarter of 2013 was $117.4 million or 8% of revenues compared to $103.1 million or 7.4% of revenues for the second quarter of 2012. Adjusted EBITDA was $163.6 million or 11.1% of revenues for the second quarter of 2013 compared to $140.7 million or 10.2% of revenues for the second quarter of 2012. The calculation of EBITA, EBITDA, and adjusted EBITDA, all non-GAAP measures, and the definitions of these and DSOs can be found in the Investors and Media section of our website at quantaservices.com. At June 30, 2013, we had about $179 million in letters of credit outstanding, primarily to secure our insurance program, and we had no borrowings outstanding under our credit facility. In addition, at the end of the quarter, we had approximately $363 million in cash, with approximately $151 million of the balance related to foreign operations. Considering our cash on hand and availability under our credit facility, we had nearly $884 million in total liquidity as of June 30. Subsequent to the quarter end, we acquired J.W. Didado Electric, and their financial results will generally be included in our Electric Power Infrastructure Services segment. We also acquired Nacap Australia with their financial results to be generally included in our Natural Gas and Pipeline Infrastructure Services segment. The aggregate consideration for both acquisitions consisted of approximately $118 million in cash, net of cash acquired and $763,272 shares of Quanta common stock valued at approximately $18.7 million. As these acquisitions occurred after June 30, their impacts or results have not been included in any of our historical results, including backlog. However, their financial projections are included post-acquisition, and therefore, are included in our guidance for the third quarter and remainder of 2013. Concerning our outlook for 2013, we expect revenues for the third quarter of 2013 to range between $1.65 billion and $1.75 billion, and diluted earnings per share from continuing operations to be $0.39 to $0.41 on a GAAP basis. These estimates compared to revenues of $1.53 billion and GAAP diluted earnings per share from continuing operation of $0.39 in 3Q '12, which included a $7.1 million benefit from the release of income tax contingencies, positively impacting the prior year third quarter by $0.03 per diluted share. Our GAAP EPS forecast for 3Q '13 includes an estimate of $7.5 million for non-cash compensation expenses and $7.5 million for amortization expense. Excluding these expenses and deal cost incurred to-date, our non-GAAP adjusted diluted earnings per share from a continuing operations for the third quarter are expected to be $0.43 to $0.45, and compared to our non-GAAP adjusted diluted earnings per share from continuing operations of $0.42 in 3Q '12. This non-GAAP measure is calculated under the same basis as the historical calculations of adjusted diluted earnings per share from continuing operations presented in this release. Consistent with guidance provided in our last 2 earnings calls, our guidance includes an expectation of approximately $100 million in emergency restoration service revenues for the year, with approximately $40 million to occur in the remainder of 2013. This compares to the record emergency restoration service revenues of $250 million in 2012 or $76 million occurring in the third quarter of the 2012 and $130 million occurring in the fourth quarter of 2012. We currently expect revenues for the full-year 2013 to range between $6.2 billion and $6.5 billion, and diluted earnings per share from continuing operations to be between $1.35 to $1.45 on a GAAP basis. Our GAAP EPS forecast for 2013 includes an estimate of $35 million for non-cash compensation expenses and $26.4 million in amortization expenses. Excluding these expenses, our non-GAAP adjusted diluted earnings per share from continuing operations for 2013 are expected to be between $1.53 to $1.63. We are currently forecasting net income attributable to noncontrolling interest to be approximately $3 million to $4 million in the third quarter of 2013 and around $16 million to $17 million for the year. For additional guidance, we are currently projecting our GAAP tax rate to be between 35.5% and 36% for 2013, and we expect our diluted share count to be around 214 million shares. We expect CapEx for all of 2013 to be approximately $210 million to $225 million, which includes CapEx for our Fiber Licensing and other segments of about $35 million to $45 million. This compares to CapEx from continuing operations for all of 2012 of $209 million. This concludes our formal presentation. I will now open the line for Q&A. Operator?
Operator: [Operator Instructions] Your first question comes from Tahira Afzal from KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is as you look at the pipeline side, clearly marked sequential improvement as well. So could you talk a bit about your capacity to the extent you can going into 2014 that is available as you look at your capacity right now? And really, the margin power we could potentially see from the 7% range, just driven by utilization to the extent you can approximate it. That will be very helpful.
James F. O'Neil: Well, I'll take the first question. I mean, we -- strategically, we've been positioning ourselves to take advantage of these big pipe opportunities, while maintaining our process in the shale. So we think we're well-positioned to take advantage of some big pipe work, which we have been communicating with -- start coming out toward the end of this year and into '14. I'll just tell you that we're not planning on turning on any opportunities in the near future. Our approach is going to be very similar to electric transmission, where we went from being on 4 jobs to over 15 and 16 projects in the 2-year period. So we're going to -- we're planning with customers. Many of these jobs are out in '14 and '15. We have founded to gear up our resources to ensure that we can meet our customers’ expectations.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Okay, great. And as a follow-up, I guess, I just wanted to ask you about the guidance range, if you can sort of divide it up in between perhaps how much is related to the $100 million in pipeline, how much is really related to just the organic improvement and risk being identified and dissipated in the quarter and how much might potentially be coming from accretion of these 2 small acquisitions? And just as a segue to that, really, your strategic outlook on incremental acquisitions?
Derrick A. Jensen: Okay. Tahira, you have a lot there. The -- relative to the overall guidance, I'll start kind of from reverse and work backwards from an acquisition perspective, I'd say that relative to now and the end of the year, you'll probably see something in order of the magnitude of $0.01 to $0.02. The mainline pipe was not in our previous guidance. And so that additional award does allow for some level of accretion and margin expansion. We still see that our margins right now, as you kind of have a running of about 7% for the segment. So and then our Electric Power margins came in at about 11.5%. So the rest of it relates on the organic side to as much a view of a margin expansion for the rest of the year. We had been previously envisioning that we would be somewhere in the midpoint of our 9% to 12% as an example for our electric power. I think we've seen to the first and second quarters that that's a little bit higher, which gives us a little bit confidence into the third and fourth quarter. And then lastly, relative to acquisitions, we continue to view ourselves as a highly acquisitive company, and I think you've seen that through these 2 acquisitions, and we think we continue to see other opportunities that are out there along for further acquisitions.
Operator: Your next question comes from Mr. Dan Mannes from Avondale.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: First, just a quick clean-up question on the second quarter in 2 parts. One, was there any large pipe in the pipe segment? And two, were there any material close outs in electric during the second quarter?
Derrick A. Jensen: Dan, this is Derrick. No we didn't have any mainline work that we performed in the second quarter. And relative to close outs, I mean, we always have some ups and downs associated with anything. A lot of them have to do with just better execution in production. There were some jobs that started to wind down but they didn't necessarily have any substantial material impact to the quarter.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Got it. And then the follow-up again on the pipeline segment, you noted the $550 million of bookings on large, large projects, that's great. I think the curious part for me is how much if it is back end to '14 and beyond? Can you talk a little bit about the environment, whereby you are starting to see longer term awards like this, because historically, pipelines really has just been kind of a one year seasonal business. Is this indicative of a tightening environment or a change in strategy by the developers?
James F. O'Neil: Well, I think we've been saying it for quite some time. You can throw the traditional bidding season at least in this current cycle out of the window because many of our customers are trying to plan resources in a tight market and projects are also getting bigger. So you got to have a little bit of preplanning. I kind of lay it out on curiosity on '14 and '15. I would tell you that one of those projects, one of the bigger project is a '14, '15 build, 2 of the projects of the '14 builds, and then you've got the 2 projects that were started in '10, that'll -- or excuse me, in '13 that'll go into '14. That'll take a break during the winter and we start construction in the spring.
Operator: Your next question comes from William Bremer from Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: First question, let's stay with the pipeline. The awards that were provided, can you give us a sense of how many miles or that the underlying diameter that you've been working on there? And then secondly, just an update on the integrity portion of the business, how's that gravitating and if you won any new awards during the quarter?
James F. O'Neil: Bill, I'm not going to get into the mileage. I'll tell you that they're all large diameter pipe, 20 inch and greater, most of them 5 million [ph] the larger diameter than that. Second question?
Derrick A. Jensen: Pipeline integrity.
James F. O'Neil: Yes, pipeline integrity continues to gain momentum. I would say it's -- again, probably one of the areas of our business that's growing faster than any of our other parts of our business but on a much smaller base and we expect continued momentum over the next several years.
William D. Bremer - Maxim Group LLC, Research Division: And then on the Australian acquisition, can you give us a sense of how many spread these guys can currently operate?
James F. O'Neil: Right now, they've got 2 spreads of capacity.
Operator: Your next question comes from Will Gabrielski from Lazard.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: The Nacap acquisition, I'm wondering if you can talk about how that business might look over the next few years in terms of are you going to be on a big LNG project coalbed methane, coal seam gas project where you're hired under some sort of framework or alliance relationship and hundreds of wells that need to be drilled, and it's going to have a good amount of visibility, or should we be thinking about these as bigger job opportunities that we'll see come in a little bit lumpy?
James F. O'Neil: I think you look at it as a company that can provide all the services that Quanta provides today. Significant infrastructure, electric transmission, distribution, infrastructure, as well as pipeline infrastructure to serve both the LNG mining and coal seam gas infrastructure build out.
Will Gabrielski - Lazard Capital Markets LLC, Research Division: Okay. And then my follow-up, in the U.S., outside of the Marcellus, are you starting to be able to get any traction, any of the different shale basins that are out there and what's your outlook, I guess, within the Marcellus as well in terms of gathering activity?
James F. O'Neil: Yes, I mean we continue to see a very positive environment in the Marcellus, the Eagle Ford and the Bakken, and we continue to gain momentum in all of those shales as we move forward. So nothing's really changed.
Operator: Your next question comes from Mr. Jamie Cook from Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: A couple of questions. Obviously, the gas pipeline side is gaining some momentum. But there is a lot of concern around the large transmission side. You've seen some of the equipment guys like Hubble and ABB. Be slightly more cautious on sort of utilities spend in utility transmission citing 2013's the peak, as well as some industry experts. So can you talk about your thoughts about are you seeing any more cautious activity from your customers and should we think about 2013 as sort of the peak with the gas side of the business gaining momentum, picking up for that. And then also two, just in terms of a modeling question, it seems like the electric transmission side, the revenue side is sort of -- should we think it's sort of flattened out, I guess, should we think about sort of similar revenue trends in the back half of the year versus what we saw in the second quarter?
James F. O'Neil: Jamie, these product suppliers, they've got -- they sell their products globally and they've got international competition. I mean, I think it's just a whole different landscape than what we're seeing. We do not see what these guys are seeing. Some of them saying that the markets going down, 10%, 20%, we're just not seeing that. And I mean, if you ask me to compare gas to electric, I mean, I think, we said, we believe it's likely we have growth in electric. I mean, obviously, gas -- the pipeline segment has a bigger opportunity to grow into next year because of all of the mainline pipe opportunities, but that doesn't mean electric's not going to grow as well. And we do not see the peaking or slowdown that others are seeing today. Now, we caveat that, that because of the environmental landscape we're in today of the regulatory landscape we're in today for that project awards and starts can get pushed. But overall, we're looking at just as many projects today that are out there to bid or to negotiate than we did last year at this time. So we're not seeing that slowdown.
Jamie L. Cook - Crédit Suisse AG, Research Division: But can you talk about the size of the projects that you're bidding on because a lot of the growth historically has come or the projects that you have, have come from more renewable initiatives, which don't seem to have, I mean, there doesn't seem to be as many projects out there like that. So there are a lot of projects, but they're smaller and medium-size, or do you still see sort of the -- a good mix of the larger sort of the larger projects out there within the transmission side of the business?
James F. O'Neil: Jamie, there's some very big projects out there right now, bigger, bigger than what we've seen before, as well as a lot of smaller projects that are interconnecting a lot of the mainline backlog projects that we've been building over the last 2 years. So it's a good mix, but it's not that it's all small projects and more small projects. There are some big projects out there that are on the drawing board, that are going to be built over the next several years. And we feel very comfortable with our outlook that the business has the potential to grow, the transmission business has a potential to grow. Again, the only caveat is the regulatory constraints that our customers face, and have been facing for the last decade and more.
Operator: The next question comes from Adam Thalhimer from BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Jim, the pipeline margins, very strong in the quarter and I think you said that, was sustainable. What gives you confidence that this kind of margins are sustainable?
James F. O'Neil: Well, I mean, we've been pursuing shale work for the last 2 years, we're executing on our strategy. We believe that our folks were getting better execution. We actually -- we did have some good weather in the quarter. And again, our job is to get as efficient as we can, and the margins continually improve as we do that shale work. And so we're really pleased with the outcome for the quarter. And like we said in the script, like I said in the script, we expect margins to get better year-over-year.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then I guess, I wanted to follow-up on Jamie's question about transmission, because she's right, there's so much negativity out there. I mean, is there anything -- one thing that was brought up was maybe FERC trying to lower the ROEs for transmission. I haven't really seen that. Have you seen anything like that?
James F. O'Neil: Yes, there's some great rate case challenges in certain areas of the country. But we still believe that's where our customers are going to get the higher returns even if the rate plays didn't play out the way they expected. Again, the main pieces of all of this is we have aging infrastructure, 2/3 of it was built post-world war II. And it's got to get upgraded. Much of it's approaching its useful life. And that's what we're seeing out there. We're seeing these major transmission lines that are being built, and they're still on the drawing board. Like I've said repeatedly, we're still in the early innings of this game. And it's going to continue forward. And I do not see any downturn in the transmission business as we stand here today, and when we do, we will communicate that to you.
Operator: Your next question comes from Steven Fisher from UBS.
Steven Fisher - UBS Investment Bank, Research Division: It's clearly good to see these mainline awards, and I'm assuming they're fixed price. And so, I guess, maybe can you talk about what changes you guys have implemented since the last go around on the mainline projects to increase -- to improve your execution? And then, I'm assuming that these awards do reflect the good terms in margins that you've been patiently waiting for.
James F. O'Neil: Well, first, I wouldn't assume that all the works are fixed price. And secondly, we were patient and we build projects with the margins that we expect for the risk that we're taking. And thirdly, we're working with many customers that we have longstanding relationships with that understand the value of building a project on time and on schedule, and certainly, the terms and conditions between this are mutually agreed upon and are acceptable to us. So I think the execution problems we've had in the past have been largely due to extreme weather conditions, and we believe that we've got the very best people and equipment in the industry and looking forward to contributing value to our shareholders going forward. And that's about all I can say. There is going to be a good time for the pipeline industry throughout this year and into next year and beyond, and we're looking forward to facing the challenge.
Steven Fisher - UBS Investment Bank, Research Division: Great. And then from a utilization perspective, I mean, with what you've booked now already and what you have in backlog on the mainline stuff for 2014, all else equal in that business, is it enough now to get you into that 9% to 12% margin range?
James F. O'Neil: We haven't given guidance for '14, but I would say that with the amount of volume you probably in that zip code if we can execute for '13. I would think that we probably need to secure somewhat a little bit more mainline pipe in order to get us into that 9% to 12% since we're only at $100 million right now, right now forecasted for the year. But there are additional opportunities, so we'll just have to see how that plays out.
Operator: You have a question from Vishal Shah from Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: Yes. On the Electric Power side, can you talk about what drove the upside at the last couple of quarters on margins of the margins [indiscernible] work about the solutions segment, and just talk about that. And also, on the pipeline side, I hear you talking about some more awards in the mainline work? Can you just talk about the [indiscernible] the number and the size of the contracts that you're bidding on in the second half of this year?
Derrick A. Jensen: This is Derrick. I think that your first question was really asking about our higher margins in Electric Power in the first quarter and second quarter potentially versus our original guidance. We've guided 9% to 12%, and then said that we thought we'd be kind of in a mid-forced in that range around the 10.5%. And primarily because of the fact that when we looked at 2012, our execution was very high and at times you saw us as being able to exceed our margins in 2012. We've said various times that we thought that it was aggressive on our part to come through and have the expectation, we've had that level of performance throughout this year because of just the last year's exceptional performance. But having said that, what we've found is that through the first quarter and second quarter of this year, we have been able to execute through at the same similar levels, even through the period, which is typically our lowest margin period, the first and the second quarter, often times hampered by weather, et cetera. So and just more we feel like on a go-forward basis that if we, to the extent we've been able to execute through the first and second, we think we have the ability to continue to see that into the at least the third quarter. As far as the...
James F. O'Neil: The bidding activity on the shale or pipeline, I would just say, it's high level of bidding activity right now, and we expect that to continue into '14 and beyond.
Operator: Your next question comes from John Rogers from D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Two things. First of all, just on the renewables portion of the business that you talked about being slower. How much renewables work have you been doing especially in 2012 and by comparison?
James F. O'Neil: John, we had probably a better year in '12 than '13. I know we did, we're probably down $100 million from $300 million this year. And then next year, there's lots of -- there' some opportunities out there, we just have to see how those play out. I mean, we're not dealing with light transmission projects, from trying to figure out whether we're going to do '14 or '16 or '17. We'll figure out whether we're going to be 1 or 2 or 3. So it kind of changes the game there, but there are some utilities shale projects that are being planned, we're hopeful that we've been working with developers now for months even years on projects that are supposed to go to construction or move to construction. So, but the thing about it, it's such a small part of what we do today that we could -- if things didn't play out in renewables -- I mean, certainly the other parts of our business will outpace it, I mean, it's probably less than 5% of the segment. Right now, but again, it's still a focus point for us, and we're still well-positioned to take advantage of opportunities if they come here.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And then secondly, just in terms of the margins in the pipeline business. They've been trending nicely higher for the last 6 or 8 quarters with the seasonality. Is that all pricing as opposed to just better utilization? And your revenues are up somewhat, but it looks like your margins are climbing a lot faster. Is that what's happening now, Jim?
James F. O'Neil: Well, I think it's mostly better utilization. I mean, when you establish yourself with a brand-new greenfield operation and open offices and start from scratch, and then you're going to gain efficiencies over time as you continue to build your revenue base and your customer base. And it's mostly on better operational improvement and better utilization of equipment over time because we've been working with the same customers over last 2 two years. Pretty much under the same MSA Agreements. So it's really just better execution and good weather, we had some really nice weather in the second quarter.
Operator: Your next question comes from Craig Irwin from Wedbush Securities.
Craig E. Irwin - Wedbush Securities Inc., Research Division: So the gasser is a segment, obviously things are cycling up and things are going very well as far as bookings and the overall trajectory on the bidding activity et cetera. Can you talk about whether or not you're getting more selective on the projects that you're bidding for there? And was there any specific piece of business that might not have been booked to this year versus last year because when we take out the 515 [ph] mainline awards we're actually down in the core bookings year-over-year, we know it's volatile, but just was hoping you could speak to that a little bit.
James F. O'Neil: Well, I'll tell you that we're not getting any more selective than what we've been over the past since we've owned Price Gregory. I mean, we've got pricing objectives and terms and conditions, objectives in our contracts, and we have customers that we have long-standing relationships with that will provide us for, that happen to have capital programs moving forward. So I don't think anything's changed there other than we're in a more robust environment now and moving forward with some opportunities.
Derrick A. Jensen: Relative to the second part of it, what I'd say is that we commented throughout the last a little bit that we're being a little less aggressive potentially in some of our shale pursuits, basically as I'm sure we have the management available to work on any of the mainland component that came available. As we look to now, I think what we've seen is that what mainline work we have, we know where those things will generally play out to the year and allow us to pursue additional of those opportunities in the shale side.
James F. O'Neil: And I do want to mention on this segment, we also have gas distribution services and we mentioned pipeline, integrity, briefly, but those 2 parts of our business are performing very well and growing as well. So all of the services that we provide in that segment are moving -- have positive trends in both revenues and margins going forward.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Great. So the second question I want to ask was really a housekeeping question. Can you share with us the approximate revenue run rate of your 2 acquisitions you closed this quarter? And maybe a backlog number that you might be looking at when you report backlog for these acquisitions at the end of the September quarter?
Derrick A. Jensen: Sure. From a revenue run rate perspective, I'd say something in order of magnitude of $250 million to $300 million on a combined basis. And then on a backlog, I'd say you're looking at something probably around about $150 million. So that's a soft number right now with that whole public conversion side of the equation and getting into these guys and talking to them exactly as how we define backlog versus them, but I'd say something in order of magnitude of $150 million.
Operator: The next question comes from Noelle Dilts from Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: First on the near pipeline project plans, is there any way, you can tell us if they're located in Canada or the U.S.? And then, could you just discuss what you're seeing in terms of the relative opportunity in Canada versus the U.S. and both transmission and pipeline?
James F. O'Neil: The project mix was probably half and half, half in Canada, half in the U.S. And I think the opportunities going forward are in both the U.S. and Canada are the same, it's equal. We're seeing opportunities in both countries.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then I think I know the answer to this question, but do you have any updated thoughts or any sort of update on the Keystone XL project and where we stand on that?
James F. O'Neil: Not anything more than what TransCanada's put out publicly. That's all -- we have the same access to the same information that you have.
Operator: Your next question comes from Alex Rygiel from FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: A couple of quick questions. First, any chance you could try to size the market in Australia? And then also, provide some comments on any opportunities you might be looking at in Mexico?
James F. O'Neil: Well, I would say that Australia is probably very similar to Canada, and how Canada has grown for us, when we made an acquisition in '10. So I think that's how I would put it in perspective rather than try to put a number on it. There's a lot of opportunities there and there's needs for significant infrastructure build out, and there's a limit today in a number of service providers that can meet customer's needs. So it's a huge job opportunity for us. The second, Mexico. Mexico is not -- really, I mean there's opportunities there, but we're just treading lightly there right now. There's plenty of opportunities to put our resources to work in other area.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And then a quick question, any chance you could give us a vague description of the mix of your Electrical business between transmission and distribution?
James F. O'Neil: It's about the same as it's been. It really hasn't changed, Alex. It's probably x-renewables 65, 35
Operator: Your next question comes from Justin Hauke from Robert W. Baird.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: So I appreciate you can't give a lot of details on the mainline work, but I was wondering just on the margin front, if maybe you could tell us what's the spread differential on kind of a unit margin basis relative to your existing gathering line work in the shales?
James F. O'Neil: The approach that we take on margins is driven by contract type. When we do a fixed price contract, there's more risk, margins are typically 300 to 400 basis points higher than at cost plus, so we're not taking risk. It's all about what type of risk you're taking, and that's across all of our segments. The spread differential. So when you do more electric transmission projects that are fixed price, it pulls your distribution projects, which are mostly cost plus and [indiscernible] price which are lower side into that 9% to 12 % OpEx range. And that's the same dynamic that we expect to happen on the pipeline side when we do core fixed price pipeline mainline projects.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Okay. But to be clear, these mainline pipeline projects that you booked or that you're calling out are not all fixed price, correct?
James F. O'Neil: I wouldn't assume that they are. That's correct.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then I guess my second question is, just thinking about CREZ and the fact that, that's been such a big project for lots of contractors and is immobilizing later this year. I think in your prepared remarks, you mentioned that your crews have homes to go to on other jobs. But I guess from an industry perspective, what are you seeing from your competitors that are there, and I guess how should we think about that impacting the pricing of new jobs that are being bid going forward?
James F. O'Neil: Look, all I can tell you is that this whole notion that CREZ is ramping up and there's plenty of people sitting around and pricing is going to be challenging. I mean, where our employee count is up 15% since the first year were at record levels, a lot of CREZ has already wind down. And we're looking for people to move on to other projects. So I don't know what our competition is doing, but I can tell you that we're very busy right now.
Operator: You have a follow-up question from Noelle Dilts.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: This is just kind of a big picture question, but my work suggests that last year, the vast majority of transmission project awards over the last few months of the year. And just given what's out there it looks like that's similar this year. Is that consistent with you're seeing? And also do you think there's any reason that we're kind of seeing that trend?
James F. O'Neil: On the electric transmission awards?
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Yes. On the project awards -- a lot of them really [indiscernible] last few months, last year.
James F. O'Neil: Yes, I mean, I think people get -- they get hung up that we don't have an announcement every quarter or 2 quarters. And I'm just -- it's still a very robust environment. I don't get caught up in that. I look at what the pipeline of opportunities are and how that's going to replace or grow on the burn that we're experiencing. And I'm very comfortable that is likely that we're going to have growth unless we have some of these bigger projects that get pushed because of permitting or regulatory [indiscernible], which will happen to some degree, but there's a lot of opportunities out there. And I'm not getting hung up on announcements right now. We've got significant work ramping up right now in certain areas that's offsetting, CREZ ramping down, and we'll have other announcements that will come out into the future as we move forward.
Operator: Thank you, sir. There are no further questions. Please continue.
James F. O'Neil: Okay, I'd like to thank all of you for participating in our second quarter 2013 conference call. We appreciate your questions and your ongoing interest in Quanta. Thank you. This concludes our call.
Operator: Thank you. That concludes the Quanta Services Second Quarter 2013 Earnings Conference Call. Thank you for participating. You may now disconnect.